Operator: Good day, ladies and gentlemen, and welcome to Honeywell's Fourth Quarter Earnings Release and 2022 Outlook Call. . As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Sean Meakim, Vice President of Investor Relations. Sean, please go ahead.
Sean Meakim: Thank you, Ari. Good morning, and welcome to Honeywell's Fourth Quarter 2021 Earnings and 2022 Outlook Conference Call.  On the call with me today are Chairman and CEO, Darius Adamczyk; and Senior Vice President and Chief Financial Officer, Greg Lewis. Also joining us are Senior Vice President and General Counsel, Anne Madden; and Senior Vice President and Chief Supply Chain Officer, Torsten Pilz.  This call and webcast, including any non-GAAP reconciliations, are available on our website at www.honeywell.com/investor. Honeywell also uses our website as a means of disclosing information, which may be of interest or material to our investors and for complying with disclosures under -- obligations under Regulation FD. Accordingly, investors should monitor our Investor Relations website in addition to following our press releases, SEC filings, public conference calls, webcasts and social media.  Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our businesses as we see them today. Those elements can change based on many factors, including changing economic and business conditions, and we ask you that you interpret them in that light. We identify the principal risks and uncertainties that may affect our performance in our annual report on Form 10-K and other SEC filings.  This morning, we'll review our financial results for the fourth quarter and full year '21, discuss our 2022 outlook and share our guidance for the first quarter of 2022 and full year '22. As always, we'll leave time for your questions at the end.  With that, I'll turn the call over to Chairman and CEO, Darius Adamczyk.
Darius Adamczyk: Thank you, Sean, and good morning, everyone. Let's begin on Slide 2. We delivered a strong fourth quarter despite a challenging backdrop that included an accelerated inflationary environment, ongoing supply chain constraints and persistent COVID-19 variants. I'm pleased for our disciplined execution as we navigate these challenges, capitalize on the ongoing recovery in our end markets.  We delivered on our fourth quarter commitments for sales, segment margin and adjusted earnings per share despite these headwinds, with fourth quarter adjusted earnings per share of $2.09, up 1% year-over-year and just above the midpoint of our guidance.  Organic sales were down 2% year-over-year, and that was heavily impacted by the COVID mass declines and fewer days in the fiscal quarter, which Greg will touch on later. Our focus on differentiated solutions drove double-digit fourth quarter organic sales growth in the commercial aerospace aftermarket, productivity solutions and services, advanced sensing technologies and recurring connected software businesses.  Segment margin expanded 30 basis points year-over-year, led by strong pricing actions that we took again this quarter to address the headwinds we faced from inflationary pressures and supply chain disruptions. These swift pricing actions allow us to stay ahead of the inflation curve, driving a 5% increase year-over-year on top line and yielding approximately 50 basis points of margin expansions net of inflation.  We generated $2.6 billion of free cash flow in the quarter, 4% above the 4Q 2020, achieving 178% adjusted conversion. In terms of capital deployment, we put $2.1 billion of cash to work in the fourth quarter.  Looking at the entire year, orders across Honeywell grew double digits organically and backlog increased 7% to $27.7 billion driven by strength in many of our segments as we entered 2022. We finished 2021 with 4% organic sales growth, 60 basis points of margin expansion and $8.06 of adjusted earnings per share, up 14% year-over-year.  We generated $5.7 billion of free cash flow in the year, resulting in adjusted conversion of 102% or 17% of revenue, a very strong result. Our earnings per share and our free cash flow performance was above our initial guidance range shared at the start of 2021, demonstrating our ability to deliver on our commitments despite unforeseen challenges and shifting economic conditions.  In the appendix of this presentation is a slide highlighting our guidance progression throughout 2021 as well as our performance against these guides.  On our capital deployment strategy, we have maintained a balanced approach over the past several years, consistently deploying more than 100% of operating cash flow to fund share repurchases, dividends, M&A and capital expenditures. This past year was no exception. In fact, 2021 marks the highest level of capital deployment in the last 6 years. Despite the challenges we faced in 2021, we deployed $8.5 billion of capital, demonstrating our commitment to investing in high-return opportunities in any environment.  We invested $1.6 billion in M&A, adding strategic assets to our portfolio that enhance our technology offerings, innovation and ultimately, our long-term growth potential. Specifically, we completed 4 transactions, including Sparta Systems, Fiplex, Performix and the $270 million we contribute to Quantinuum combination, which I'll talk about -- more about in a moment.  We spent $900 million on capital expenditures to continue to build technologies to make our world safer, more efficient and more sustaining. We deployed $3.4 billion to repurchase shares, reducing our weighted average share count by 1.5%. And finally, we maintained a strong dividend policy, paying out $2.6 billion and raising our dividend again for the 12th time in 11 years.  Looking forward, I continue to be encouraged by the strength we are seeing in many areas of our portfolio as we continue to execute on our rigorous and proven value creation framework, underpinned by our accelerator operating system that drives outstanding shareholder value.  Next, let's turn to Slide 3 to discuss some exciting wins in our Sustainable Technology Solutions business. We continue to make substantial gains for our sustainability business. In the fourth quarter, we announced the commercialization of our UpCycle Process Technology, a revolutionary new process that expands the types of plastics that can be recycled. This process can produce feedstocks used to make recycled plastics with a much lower carbon footprint and has the potential to increase the amount of global plastic waste that can be recycled to 90%.  In addition, just last week, we announced our intent to form a joint venture with Avangard Innovative, America's largest plastics recycler, to build an advanced recycling plant in Texas. The facility will use our UpCycle Process Technology and is expected to have the capacity to transform 30,000 metric tons of mixed waste plastics into Honeywell recycled polymer feedstocks per year.  We also recently announced that we've entered into an agreement with FREYR Battery, the intent to provide smart energy storage solutions to address the needs of a wide range of commercial and industrial customers alike. FREYR will leverage Honeywell's leading technology offerings, including integrated automation, field instrumentation and security integration solutions on manufacturing processes. In turn, Honeywell will purchase 38 gigawatt hours of battery cells produced by FREYR from multiple energy storage system applications.  Battery energy storage systems technology development is vital to the continued decarbonization of global power system as it will enable the transition to renewable energy sources. In the fourth quarter, we announced an agreement with the University of Texas at Austin that will enable the lower cost capture of carbon dioxide emissions from power plants and heavy industry. We have committed to achieve carbon neutrality in our own operations and facilities by 2035. We are committed to helping our customers use their carbon footprint as well. We'll leverage UT Austin's proprietary advanced solvent technology to help power, steel, cement and other industrial plants lower their emissions and meet their sustainability goals.  Finally, we saw tremendous traction in our green fuels business, which uses UOP's Ecofining technology to produce high-quality drop-in fuels from sustainable sources. Over the last few months, we recorded 6 important wins, including 2 large multinational companies.  In addition, Diamond Green Diesel is using Ecofining technology to produce renewable diesel. They plan on having the capacity to produce over 1 billion gallons per year by the second half of 2022.  These are just 4 select examples from our vast portfolio of sustainable offerings. We will continue to innovate, demonstrating that Honeywell will be a key player of the oncoming energy transition.  Now let's turn to the next slide to take a look at some of the big commercial developments and how we are aggressively investing in growth.  If you've been following our press releases over the past quarters, including the examples highlighted on the previous slide, you are well aware of the successes we are having with new innovations and partnerships. We have many growth opportunities across the portfolio with new products, businesses or entirely new markets. These areas present high return opportunities to deploy our CapEx and OpEx spend to create value for the future.  To highlight a few examples, in 2022, we are increasing CapEx investment to expand our Solstice production capacity, commercialize our advanced plastics recycling technology and build additional generations of both commercial and development quantum computers. To fund key investment priorities in '22, we plan to spend $1.1 billion to $1.2 billion in CapEx, up $200 million versus 2021, up 25% versus the prior 3 years. Our 2022 research and development priorities will be continued innovation in sustainable technologies, developing our next-generation flight deck and investment in new engine development, to name a few.  R&D for '22 will be up approximately $200 million or 15% year-over-year and up 10% versus the prior 3 years. Our internal spending on capital projects in the R&D has consistently been the highest return deployment of our capital. We'll continue to make these investments to drive our future growth.  Also, Honeywell Digital, one of the 3 main transformation initiatives, has fundamentally changed the way we work and resulted in $1 billion of cumulative sales, productivity, and working capital benefits since 2018. We'll continue to invest in our digitization efforts to drive efficiencies and produce valuable data-driven insights.  While this may be a modest drag on our cash generation in '22, these investments are crucial to accelerating our growth and drive transformation across our portfolio.  Let's turn to Slide 5 to take a closer look at Quantinuum, which is one of the major breakthrough initiatives for Honeywell.  In the fourth quarter, we completed our previously announced business combination of Honeywell Quantum Solutions and Cambridge Quantum to form a new company, Quantinuum. As mentioned in our investor communications throughout 2021, this combination marries the leading quantum computing hardware, the leading quantum computing software to form the largest and most advanced integrated stand-alone quantum computing company in the world.  Quantinuum technology will help solve some of the world's most pressing challenges, including breakthroughs in drug discovery and delivery, material science and industrial optimization, to just name a few. Quantinuum cybersecurity offering launched in December. Quantum Origin is the world's first commercial product built upon quantum computers that delivers outcomes that classical computers could not achieve. This revolutionary new product will be crucial to companies and governments, who need to ensure protection of sensitive information against adversaries and criminals.  With the introduction of Quantum Origin, which is already serving Fortune 500 customers today, we expect Quantinuum to reach approximately $2 billion of sales by 2026, 1 year earlier than the estimate we provided in our leadership webcast back in November.  Upon the completion of the combination, Honeywell invested $270 million into Quantinuum, and Honeywell currently owns a majority stake. We expect a slight margin headwind of 30 basis points to Honeywell in 2022 due to increased R&D spend associated with Quantinuum, as shown on the previous slide. Overall, we expect Quantinuum to be $150 million headwind to EBITDA. However, this R&D investment will yield great returns as we accelerate the commercialization of this revolutionary technology.  The appendix of this presentation contains a slide explaining the 2022 financial impact to Honeywell in more detail.  We believe this unique opportunity for investors to gain exposure to an early-stage growth technology company at an industrial multiple. Quantinuum is the best positioned company to lead quantum computing and has all the building blocks to be the frontrunner in what is projected to be a $1 trillion industry.  Now I will turn the call over to Greg to discuss our fourth quarter results and 2022 outlook in more detail.
Gregory Lewis: Thank you, Darius, and good morning, everyone. Let's turn to Slide 6. As Darius highlighted, we delivered on our financial commitments despite a very difficult operating environment. Fourth quarter sales declined 2% organically as supply chain constraints continued in the quarter, predominantly in Aero, HBT and SPS. The quarter also had difficult year-over-year comps with lower COVID-related mass demand impacting growth by 2 percentage points and 6 fewer days than fiscal 4Q 2020, which is worth approximately 3 percentage points.  Turning to the segments. Aerospace fourth quarter sales were down 3% organically compared to the fourth quarter of 2020 as we continue to manage through the supply chain constraints we're facing. Continued flight hour improvement led to over 20% year-over-year growth in air transport aftermarket sales and over 10% growth in business and general aviation aftermarket sales. Business& General Aviation original equipment sales also grew double digits in the quarter. Defense & Space was down 18% year-over-year in the fourth quarter with softness in U.S. defense, partially offset by international defense, which grew sequentially and year-over-year.  Segment margins expanded 140 basis points to 29% as a result of value capture, improved business mix with higher aftermarket sales and productivity partially offset by higher cost of materials.  Building Technologies sales declined 1% organically year-over-year due to continuing supply chain constraints across the business, partially offset by pricing, though orders were up 4% in the quarter. Backlog in Building Solutions was up double digits year-over-year with growth in both projects and services, positioning HBT for strong performance in 2022.  Our Healthy Buildings portfolio finished the year strong with over $200 million of orders in the quarter, bringing the total orders for 2021 to well over $400 million. Segment margins in HBT continue to be strong at 21.1% in the quarter, though it was down 30 basis points year-over-year, driven by lower volume leverage and cost inflation, mostly offset by favorable pricing.  In Performance Materials and Technologies, sales were up 2% organically, led by 7% growth in UOP and 5% growth in Advanced Materials. UOP sales growth was driven by higher petrochemical catalyst and gas processing shipments while Advanced Materials benefited from continued double-digit sales growth in Life Sciences and Protective and Industrial Solutions.  Process Solutions sales were down 3% organically with slower recovery in projects and supply availability constraining smart energy production. However, orders growth across the HPS portfolio, including double-digit orders growth in the projects businesses, provides confidence in the longer-term outlook for the business.  Orders in UOP were up 25% year-over-year, including triple digits in Sustainable Technology Solutions, another signal for strong 2022 growth. PMT segment margins expanded 430 basis points to 23% in the fourth quarter, driven by favorable pricing and productivity, net of inflation.  Turning to Safety and Productivity Solutions, where sales were down 6% organically, mainly due to a 12-point impact from COVID-related masks. Intelligrated was flat year-over-year and down sequentially, as expected, as the level of delivery and installation came down from its 2Q peak.  Productivity Solutions and Services continues to be a star in the portfolio, along with the Sensing business, both of which had double-digit sales growth in the quarter. SPS backlog remains above $4 billion as declines in the mask business were mostly offset by triple-digit growth in Advanced Sensing and Technologies and over 90% growth in Productivity Solutions and Services, giving us confidence in the future growth. SPS segment margins contracted 450 basis points to 10.8%, driven by lower volume leverage and inefficiencies caused by ongoing supply chain challenges in Intelligrated, which we highlighted in our previous earnings call, and I'll touch on again in a moment.  So for overall Honeywell, we delivered 30 basis points of segment margin improvement with margin expansion in PMT and Aero, ending the quarter with segment margins of 21.4%, a 20 basis point sequential improvement versus the third quarter. We drove targeted pricing again in the quarter across the portfolio to combat the accelerated impacts of inflation.  On EPS, we delivered fourth quarter GAAP earnings per share of $2.05 and adjusted earnings per share of $2.09, which was up $0.02 year-over-year. A bridge for our adjusted earnings per share from 4Q '20 to 4Q '21 can be found in the appendix of this presentation.  Segment profit was a $0.03 headwind, driven primarily by lower volume due to fewer days, mask volumes and supply chain constraints, offset by price and cost actions. Higher effective tax rate, 19.7% this year versus 18.9% last year, drove a $0.02 headwind. Share count reduction drove a $0.04 year-over-year tailwind to earnings per share, and we saw a $0.03 benefit from below-the-line items due to higher pension income that was partially offset by increased repositioning and other.  Repositioning and other specifically was approximately $160 million, just below the midpoint of our 4Q guidance of $140 million to $215 million and included a $105 million charge in the fourth quarter due to incremental long-term contract labor cost overages in Intelligrated caused by severe supply chain disruptions from COVID-19. The accelerating challenges of supply chain disruptions and labor shortages in the second half of '21, coupled with the hyper growth of the business and the link between material supply and installation efficiency in the Intelligrated model, drove specific identifiable nonrecurring costs, which were recorded in repositioning and other. This charge is forward-looking and accounts for projects which are yet to be completed. In 2022, we expect roughly $30 million to $50 million of carryover costs, the impact of which is incorporated into our 2022 repositioning and other guidance.  Other inefficiencies were reflected in the Intelligrated and SPS P&L, as I mentioned earlier in the discussion of the SPS margins.  Moving on to cash. We generated $2.6 billion of free cash flow in the quarter, up 4% year-over-year. This increase was driven by lower working capital, including strong collections and world-class payables, offset by higher inventory as we continue to work through the constrained supply chain environment and extended lead times.  We also had a $211 million accelerated cash receipt in the quarter from Garrett per our contractual claims under the plan of reorganization signed last year. As a reminder, we include cash receipts from Garrett within free cash flow in order to be comparable to prior periods, where the cash proceeds from the indemnification and reimbursement agreement were recognized.  Finally, as Darius mentioned earlier, we deployed $2.1 billion towards high-return opportunities for our shareholders. We paid $680 million in dividends, repurchased $880 million in shares, over delivering on our commitment of a minimum 1% share count in '21, and we deployed approximately $280 million in CapEx and invested $270 million in Quantinuum.  So overall, we managed successfully through another challenging quarter and closed out 2021 on a strong note.  Now let's turn to Slide 7 to talk about our markets and segment outlook for 2022. We continue to see promising signs of the recovery unfolds as well as encouraging wins in our key markets. The backdrop for 2022 does have a number of uncertainties in it, the ongoing global pandemic, continued supply chain constraints, accelerated inflation and labor market challenges. And at each turn, our rigorous operating principles have enabled us to demonstrate our agility and resiliency battling these situations.  Across our end markets, the macro setup continues to be strong. Increased COVID-19 vaccination rates and higher immunity should lessen infection rates, pointing to signs of the pandemic subsiding and leading to continued improvement in global flight hours and returns to buildings. Investments will continue to flow towards transitioning global energy production to a low-carbon future, and Honeywell will continue to lead that evolution as we invest in our strategically differentiated and sustainable technologies.  We expect supply chain impacts to remain as challenging in the first half of the year as they were in the third and fourth quarter, and they'll start to abate as the aero supply base ramps up and capacity for electronic components comes online in the third quarter. Inflation will continue to be a significant headwind. However, our agile pricing actions will dampen the impacts to margin throughout the year.  Corporate tax legislation continues to be a watch area for both earnings and cash, which I'll talk about a little bit later.  As for the segments, in '22, we expect Aerospace to continue to benefit from the recovery in flight hours, leading to robust growth in commercial aftermarket sales. Commercial build rates will continue to improve, especially in air transport, providing growth in original equipment sales, but creating some mix headwinds on margins.  Defense & Space sales will experience progressively improved performance as supply chain challenges abate, returning the business to growth in the second half and ending the year roughly flat.  In total, we expect Aerospace sales to be up high single digits for the year. Despite some mix pressure and the ramp-up in R&D expenses for the long-term programs, margins will expand as Honeywell Quantum Solutions business investment moves out of Aero and into corporate costs.  HBT will see continued strong demand in '22 as the world continues to reopen and sustainable solutions see increased use. We expect end markets to gradually recover throughout the year, including government, education and office buildings. Increased government funding for infrastructure, both in the U.S. and Europe, provide further opportunities across the portfolio.  Pressure from supply chain constraints, particularly semiconductors, will impact the business, especially in the first half, but we'll continue to execute on our mitigation actions and expect the business to grow high single digits for the year. We expect our margins to expand, driven by higher sales on our streamlined cost base.  Performance Materials and Technologies has one of the most favorable macro setups in our portfolio, and we will see growth accelerate throughout the year. We expect Process Solutions sales to sequentially improve. Process Solutions product orders will continue to grow at a healthy rate following the double-digit orders growth we saw in the fourth quarter of '21 as traditional energy projects begin to gradually recover, and we see strength across new verticals like life sciences and sustainable energy storage that are driving increased demand.  The increase in UOP engineering and licensing orders over the past few months gives us confidence in the follow-on Process Solutions projects growth over the medium term. UOP catalyst shipments will remain strong as demand shifts from petrochemicals to refining, where we expect a reload cycle to emerge in the energy space.  Advanced Materials demand remains robust, and we expect sales to increase throughout the year, especially as we complete production capacity expansion projects such as our planned increase in our Solstice line of ultra-low global warming potential solutions. In addition to Solstice, our other sustainable offerings in renewable fuels, carbon capture, energy storage and plastics recycling will benefit from the increased customer focus on environmental responsibility and efficiency.  In total, we expect PMT sales to be up mid to high single digits for the year. We expect PMT margins to expand as well as a result of continued pricing and productivity actions as well as increased volume leverage.  In Safety and Productivity Solutions, demand for productivity solutions and services, advanced sensing technologies and gas detection all remain strong, and their increased backlogs create strong runway for '22 growth. Lower COVID-related mass demand will affect the first quarter most heavily, driving a 9% drag on SPS in Q1 and then will abate throughout the year.  In Intelligrated, after ending 2021 with approximately 50% year-over-year hyper growth, we expect sales to be flattish year-over-year in '22 as we adjust our portfolio towards a better balance of growth and near-term profitability. We're targeting substantial margin expansion in Intelligrated in 2022 and expect sequential improvement throughout the year, with the second half revenue being higher than the first, the opposite dynamic versus what we saw in 2021.  So overall, we expect SPS sales to be flattish year-over-year, with sales growth higher in the second half versus the first half and margins expanding materially as business mix and supply chain challenges subside.  So overall for Honeywell, we see improvement across most of our end markets throughout '22, and we have confidence in our continued operational execution. We'll manage through another challenging operational environment with accelerating growth as the year progresses.  Now let's move to Slide 8 to discuss how these dynamics come together for our 2022 financial guidance. In total, for '22, we expect sales of $35.4 billion to $36.4 billion, which represents overall organic sales growth in the range of 4% to 7%. We'll continue to drive pricing actions to combat this inflationary environment, and we expect approximately 4% of our sales growth to come through price. Excluding the impact of the lower COVID mask demand, which will approximately be a 1 point headwind, we expect organic growth of 5% to 8%.  The first half will be slower and, as additional supplier capacity comes online, we'll see significant sequential improvement and stronger growth in the back half of the year.  Segment margins are expanded -- are expected to expand 10 to 50 basis points, despite a robust investment year, supported by higher sales volumes, price/cost management and our continued rigor on fixed costs.  Excluding the 30 basis point headwind from Quantinuum OpEx that Darius mentioned earlier, we expect margins to expand 40 to 80 basis points. We are excited about the trajectory of Quantinuum and the value creation that this investment will bring. We expect margin expansion across all of our businesses in '22, with SPS leading the pack as we prioritize profitability versus growth.  For the year, we expect earnings per share of $8.40 to $8.70, up 4% to 8% adjusted. We see free cash flow in the range of $4.7 billion to $5.1 billion in '22 or $4.9 billion to $5.3 billion, excluding Quantinuum, which I'll walk through in a couple of minutes.  For now let's turn to Slide 9 and talk through our 2022 EPS bridge. On EPS, segment profit is expected to be a key driver of our earnings growth, contributing $0.58 per share at the midpoint of our guidance or about 7% growth.  Next, below the line, which is the difference between segment profit and income before tax, is expected to be in the range of negative $100 million to positive $50 million, which reserves capacity for $300 million to $425 million of repositioning and other. This includes between $30 million and $50 million related to the carryover cost from supply chain disruptions in Intelligrated.  On the pension front, we expect approximately $1,050,000,000 of pension and OPEB income in '22, down approximately $100 million from 2021, as we have adjusted our plans for higher discount rates due to interest rate movements and the adjustment of our expected returns.  Our diligent management and strong returns have been an important value driver for the company, putting us in a position where our pension-funded status continues to be robust, ending the year at approximately 120%. With these inputs, below the line and other items are expected to be down $0.15 per share year-over-year at the midpoint, mainly driven by the lower pension income.  Quantinuum will result in a headwind of approximately $0.03 per share as the net P&L investment is partially offset with noncontrolling interest.  For taxes, we expect an effective rate of 22%, and our base case is that our minimum 1% share count reduction program will result in a benefit of $0.09 per share, reducing our weighted average shares from 700 million to at least 693 million.  So in total, we expect '22 earnings per share to be in the range of $8.40 to $8.70, up 48% year-over-year adjusted. However, excluding the impact from Quantum and below the line and other items, we would see year-over-year earnings per share growth of 8% at the midpoint.  Now let's turn to Slide 10 and discuss the drivers of our free cash flow guidance for '22. As we outlined on this bridge, 2022 cash flow will be the tale of 3 dynamics: healthy net income growth, 2 meaningful nonoperational adjustments, and an increase in investment in exciting growth vectors. The 2 main detractors are lower Garrett cash receipts due to an elevated payment of $375 million in 2021 and higher cash taxes between $400 million and $600 million, as current R&D -- capitalization, tax legislation and other law changes may result in meaningful year-over-year headwinds. While there is still a possibility that legislation will be enacted that defers the requirement to capitalize R&D, we are including higher cash taxes in our current outlook as we'll be required to make these payments unless existing law is amended by legislation before the end of March.  As you would expect from Honeywell, we'll continue investing in our long-term growth with between $200 million and $300 million incremental capital expenditures in '22 to build solutions that will help us solve challenging problems for our customers and address critical global sustainability issues. In addition, as Darius highlighted, we're investing an incremental $100 million in cutting-edge technology like Quantinuum. These strategically important investments are building on the momentum we have with the recent wins, both in sustainable solutions and more broadly across Honeywell, creating value for our shareholders.  This outlook could, of course, get better if tax law changes play out differently, and our CapEx this year should be a bit of a peak. So I'm very confident that we'll continue to be a strong cash generator prospectively.  Now let's turn to Slide 11 for a preview of the first quarter. We're entering 1Q with a very strong backlog and a number of challenges persisting in this operating environment and some evolving economic and geopolitical uncertainties. We expect organic growth in the first quarter in the range of down 2% to up 1%, driven by the ongoing supply constraints; current COVID dynamics, which have dampened travel somewhat versus 4Q; and evolving geopolitical uncertainties. We'll continue to deploy pricing actions to combat rising costs, and we expect price increases to drive approximately 4% of sales growth in the quarter.  This quarter will be our toughest comp for the year as the first quarter of 2021 was near the peak of our COVID-related mask demand. Excluding the 2 percentage point impact of lower masks, we would be -- we would expect organic growth in the range of flat to up 3%. We expect segment margins in the range of 20.6% to 21% in the first quarter, down 40 basis points to flat year-over-year. Excluding the impact of Quantinuum, we expect segment margins to be down 10 to up 30 basis points as our price/cost actions and cost management mostly offset the volume leverage challenges we're facing in the supply-constrained environment.  The net below-the-line impact is expected to be between $30 million to $75 million expense, with a range of repositioning between $120 million and $160 million in the quarter as we continue to provide capacity to fund ongoing restructuring. We expect the effective tax rate to be in the range of 22% and average share count to be approximately 697 million shares. As a result, we expect first quarter EPS between $1.80 and $1.90, down 6% to down 1% year-over-year.  And lastly, first quarter is historically our lowest from a cash perspective. And with the supply chain impacts that we have been facing, those will continue to drive higher inventory levels, dampening our cash generation in the short term.  Now let's take a moment to walk through our expectations by segment. In Aero, we expect flight hours to remain relatively flat to the fourth quarter, though COVID may dampen it some. It will be up significantly year-over-year, leading to another quarter of strong growth in both Air Transport and Business & General Aviation.  Air Transport original equipment should return to growth as build rates begin to improve. And in Defense & Space, International Defense will continue to grow and stable U.S. defense spending will lead to volumes that are relatively flat to the fourth quarter, though down slightly year-on-year.  In Building Technologies, we expect business conditions to remain similar to fourth quarter with strong demand but continued supply constraints. Demand for our Healthy Building Solutions should remain strong as the world continues to combat COVID-19 and the Omicron variant. The business should see sequential and year-over-year growth as we execute on our robust backlog in Building Solutions and see continued demand for fire and security products.  In PMT, we expect continued year-over-year sales growth in the first quarter. Strong demand for Thermal Solutions will drive growth in Process Solutions, while the projects business begins to move past its pre-COVID decline comps. Increased catalyst shipments and process technologies licensing will support growth in UOP, though they'll be partially offset by lower equipment volumes due to project life-cycle timing.  Advanced Materials sales will continue to increase in the quarter due to sustained high demand across the product lines as well as pricing actions implemented to offset commodity inflation.  Finally, in SPS, Q1 will be its most difficult quarter. We expect sales to be down year-over-year due to the 9 point impact of mask demand and Intelligrated sales that will be near the second half exit rate as opposed to the very strong start in Q1 of last year.  We'll see strong double-digit growth in the first quarter from Productivity Solutions and Services, Advanced Sensing Technologies and Gas Detection as they execute on the robust backlog. Productivity Solutions and Services has been a star in the portfolio, and we expect this business to continue to gain market share.  So overall, the road ahead remains challenging, but we're confident in our ability to navigate through this operating environment in the first quarter, and we're extremely optimistic about our prospects for the future.  So with that, I'll turn the call back over to Darius.
Darius Adamczyk: Thank you, Greg. Let's turn to Slide 12 and talk about our corporate governance at Honeywell. Integrity and ethics, inclusion and diversity and workplace respect are foundational principles that are core to our strategy at Honeywell. Our focus on these principles is evident in our corporate governance efforts throughout the entire organization from top to bottom. We have a diverse and independent Board of Directors overseeing the business, and an executive team that is committed to fostering a culture built on these foundational principles.  Through our annual training to all of our employees, we educate on our code of business conduct and promote honest business practices, compliance to all laws and regulations and respect in the workplace. We recently launched Honeywell Accelerator, a revitalized operating system that provides a centralized source of training programs designed to further develop our employees, enhance the way we manage, govern and operate the business. Accelerator allows us to educate and standardize around our best practices and will empower our employees with the knowledge and tools needed to perform their roles.  In January, we announced a new addition to our Board of Directors. Rose Lee was elected to join the Board as an Independent Director. Rose is currently President and Chief Executive Officer of Cornerstone Building Brands, a leading manufacturer of exterior building products in North America. Rose has a unique blend of leadership skills, deep knowledge of operations and technology and a passion for environmental, social and governance expertise. Prior to joining Cornerstone Building Brands, Rose served as President of the DuPont Water & Protection business, focusing on improving sustainability through the company's water, shelter and safety solutions. She's also spearheaded initiatives to advance minorities, women's and veterans. Rose's perspective will be a valuable addition to our Board as we further advance Honeywell's transformation.  Now let's turn to Slide 13 for some closing thoughts before we move into Q&A. In the first year of recovery was not without its challenges. However, we effectively managed through these macroeconomic difficulties and over delivered our financial commitments. We didn't stay on the sidelines, but instead, we took action to grow the business, including increasing our capital deployment. Our balance sheet remains strong, and we'll continue to invest for the future of Honeywell. While several COVID-related headwinds will drag into early part of 2022, the macro setup is trending favorably for most of our end markets and we're optimistic about our future.  Our recent innovations, including new safety and sustainability offerings, will drive long-term growth and allow us to meet some of the world's most pressing needs.  One last item before we move to Q&A. I'm pleased to announce that our 2022 Investor Day will be held on March 3 at our corporate headquarters in Charlotte. At this Investor Day, I, along with members of the senior management team, will discuss Honeywell's business strategy, exciting new growth opportunities and an updated long-term growth algorithm. We look forward to sharing more with you about Honeywell's future at that time.  With that, Sean, let's move to Q&A.
A - Sean Meakim: Thank you, Darius. Darius, Greg, Anne and Torsten are now available to answer your questions. . Ari, please open the line for Q&A.
Operator: . We will now take our first question from Scott Davis from Melius Research.
Scott Davis: Can you hear me?
Sean Meakim: Yes. Good morning, Scott.
Darius Adamczyk: Yes. Good morning.
Scott Davis: Guys, the guidance seems conservative, I guess. And when you back out price, 4% price, you're not expecting a whole lot of unit volume recovery. Is that because of the first half being so weak and you expect just a modest improvement in the second half? I mean, I guess just a little bit of color. I look at Slide 7, and it looks so bullish. And then you look at Slide 8 and you say, "Oh, it doesn't feel as bullish." Just trying to get a sense of how you're thinking about the year playing out and how conservative the guide is.
Darius Adamczyk: Yes. I mean, I think, first of all, a couple of comments on that. We do have to take, first of all, masks into account, which adds 1 point to the growth rate. So now we're at 5% to 8% because, I think, frankly, the masks are a bunch of noise into our numbers, at least for the first half.  Second of all, the first half will be slow, which actually means that we've got to have substantial acceleration in the second half. And although we're bullish on improved supply chain flow, it is a bit of an unknown. And even with sort of the kind of a slow first half, that implies a pretty aggressive growth in the second half. And for us, 5% to 8% growth, which take 6.5%, 7% at the midpoint, I think it's a fairly reasonable guide to start the year, with a lot of uncertainty along the supply chain.  I am optimistic, and we have some very specific data points. For example, we have about just a shade over 90% of our semiconductor now confirmed for the year. The problem is that necessarily confirm when we want it, which will be in the first half. It's more certain for the second half. But you would have to be sort of betting on the future and sometimes the future is unpredictable until we see that.  So we came out with guidance that I think is fair. I don't know if you want to call it aggressive or conservative, but it does assume a pretty good step up in the second half, probably not inconsistent with some of those peers. But what none of us know, and that includes Honeywell and others, is exactly what will happen in the second half. So we've built in a ramp, but we also feel like it's a ramp that can be met. So we'll -- and we'll adjust as we go through the year.
Scott Davis: Okay. That's fair. I'll stick to the one question. And good luck in '22.
Operator: Our next question comes from Steve Tusa from JPMorgan.
Charles Tusa: Just on the investment side, it looks to me like R&D growing 15%. You have this digital investment you're making. You talked about the CapEx and how, I think, you said that, that's kind of getting close to a peak. What is the kind of normal run rate of these investments now going forward? It seems like they grew meaningfully ahead of sales this year. Are these investments, they will continue to grow ahead of sales? Or will they be more kind of flat with sales or even flat on absolute basis? What's the outlook for those R&D and this digital spending?
Darius Adamczyk: I mean, let me kind of split that up, Steve. The first one is, I think you know from a CapEx perspective, we think that this is a bit of a higher-than-normal year by, call it, $200 million to $300 million. So I think that that's probably a bit unusual.  But look, I think there's a key point here that's missing. I think our investors should want us to spend money in CapEx and R&D. It is the highest IRR return we can have on anything we do. And with the pricing for M&A today, if you can get double-digit IRR returns on M&A, you're doing well.  So I think this is the point is that we have great projects, both CapEx and OpEx, which will generate tremendous return for investors, especially in Sustainability and Technology Solutions. I mean that business is poised to be multibillion dollars by the end of the century and -- or by the end of the decade. And I think some of the wins that you've seen here are proof points of that, and I see nothing but acceleration from this point forward. So I think that's the story on CapEx.  On OpEx, obviously, we have some items around Quantinuum. We're investing there. I mean we've got about almost a $200 million headwind just from OpEx investment in that business. But I mean, this is sort of another appealing thing to our investors. I mean, you can pick up the best quantum computing company in the world at an industrial multiple. Obviously, I think we're -- whether or not that stays within the portfolio, I think, is to be determined, but probably keeping it longer term in the portfolio is not the path we would go. So obviously, that will also create some headwinds.  And then sort of R&D investment, other, I think that's a little bit to be determined. I mean, we are going to continue to invest in innovation. And as long as we have good projects, that investment is going to continue. We have some great investments in sustainability, aerospace, forage, we're going to continue to make them.
Charles Tusa: Right. So I guess what's kind of hard for us to see is that you're spending this money, but obviously, in the fourth quarter and in the first quarter, you're really not seeing it in sales. So will there be -- can you guys give us any color on how much sales? I guess we can do the math on the returns, but will this add a point or 2 to sales over the next couple of years per year? Like at some point, it has to show up in the top line to make it down to the bottom line. So I think that's what is a little bit juxtaposed.
Darius Adamczyk: Yes. Yes. No, I get that. I mean -- but I mean, there's no sort of instant gratification. I mean, as you know, quantum computing, we're projecting to do more than $20 million this year in revenue, could do more than that. But we're also saying it's going to do $1 billion by 2026. So that's sort of a pretty attractive $2 billion by 2026. So I'd argue that's a pretty attractive curve there.  Sustainability Technology Solutions, think about it as a $700 million business within 3 years, to give you some very specifics. Now I'd still like view it as a couple of hundred million this year, but it's going to accelerate very, very quickly to give you some curves.  On the big scope of Honeywell, are they going to show up dramatically in Q1, Q2? Probably not. But as you look at '23, '24 and '25, we're very, very confident these things will show up, and we'll talk a little bit more about at the Investor Day. I think the Sustainability Technology Solutions business has been on fire. And with all the wins, and some of them we can't even talk about that we've had, particularly in our green fuels, gives us a lot of confidence to invest a lot more money into that business given the kind of demand we're seeing and interest in our technologies.
Operator: Our next question comes from Julian Mitchell from Barclays. Julian.
Julian Mitchell: Maybe just a question around sort of cash generation and cash uses. So I just wondered what your perspective was on whether Honeywell can be a sort of 100% free cash flow conversion business in the medium term. Understood that maybe CapEx normalizes, but you've still got that pension income in the P&L aspect there.  And then the second part is on the cash uses. I think investors might say, look, you've got very high IRR investments being made. The share price isn't embedding the high IRR. Your balance sheet is unlevered. So why don't you do a big share buyback right now in advance of those high IRR projects becoming visible?
Gregory Lewis: Okay. So thank you, Julian. And when you look at our cash generation capability, I think you've seen over the last 4 years plus, we have dramatically improved that to be right around, if not, above 100% and 16% to 17% cash margin, which we think is actually a better measure.  With this investment that's going in now, obviously, that takes it down this year, which would compute into something probably in the high 80s, mid- to high 80s, and probably, again, 13% to 14%, so call it, mid teens on cash margin. But our forward look is very positive.  I mean as we've discussed, I mean, the CapEx comes and goes. We're usually right around $900 million plus/minus. So this year, maybe we're going to be $1.2 billion or so, $1.1 billion, $1.2 billion, but there are some specific reasons why that is, and that will probably work its way back down. And we'll continue to drive income growth, which is going to fuel our cash generation.  So I feel very strongly about the strength of our cash flow. Will it be 100%? I don't know, but we feel like mid-teens cash margin for us is a very strong place and no reason to believe that we're not going to continue to be there.  As far as the share buyback is concerned, we've got our powder dry. That is -- we've demonstrated, again, once again in the fourth quarter that we're willing to deploy our capital against that. We did almost $1 billion in 4Q. I think it was 800 -- high 800s. And if that opportunity really shows itself, we'll go back in and do so. So I think that's one of the things we'll always have right in our radar on our capital deployment toggle. So I don't know, Darius, if you want to say anything more about it.
Darius Adamczyk: Yes. No, I think, Julian, as you saw in Q4, we were pretty active in the market, and we think that the shares are severely underpriced right now, and we acted, Q4. So we kind of did what we say.  In terms of cash conversion, I'll be honest, I talked -- I hate that metric. It's not a good metric. Because if you do a bunch of really expensive M&A and you have an underfunded pension plan, you're going to look really good on that metric. And it's kind of a meaningless metric.  I like cash as a percent of your revenue. I think that's a better metric. And I think we're going to be in the teens, some place in the teens. Some years, mid- to upper teens, some years lower. But one thing we're not going to do is not invest in the business when we have these kinds of growth opportunities. I think that -- I think it's a great sign that Honeywell has these kinds of growth opportunities that provide these kinds of returns.  And I wish that some of the revenue and returns would come sooner. I think we all wish that. But the fact is these are attractive returns. And whether it's Quantum or Sustainability Technology Solutions or others, you don't get this kind of margin performance year after year after year. And we're not exactly a low-margin company to begin with. I mean, we're in our low 20s. So we're kind of in top quartile of our peer group, and we have continued confidence in margin expansion. Reason is because we're investing in innovation, which is differentiated, where we can capture value, I think, we've proven.
Julian Mitchell: Yes, I agree with that on the premise of the cash flow margin.
Operator: Our next question comes from Nigel Coe from Wolfe Research.
Nigel Coe: Can you hear me okay?
Gregory Lewis: Yes.
Darius Adamczyk: Yes.
Nigel Coe: Just want to go back to cash flow and the $0.5 billion impact from the tax changes, Greg.
Gregory Lewis: Yes.
Nigel Coe: R&D, I think we all understand, but definitely a little bit heavier than what we were expecting. So maybe just break out, is it R&D plus other things? And if the -- if Congress solves this issue, does that toward that come back?
Gregory Lewis: Yes.
Nigel Coe: Or is it other things?
Gregory Lewis: Yes, 100%. listen, we could have -- there are some of our peers who left out the detriment of the extenders not occurring, we did not do that because...
Darius Adamczyk: Yes. Most of our peers.
Gregory Lewis: Yes. I mean, I could tell you that it's going to be $400 million to $500 million more cash flow. And then if they don't do the needful, then we're going to come back to you in April and take our guidance down. So that was not a position we wanted to be in. We're being very transparent with what it is. We really hope that, that legislation gets extended. We feel very strongly that R&D tax credit is important. It's important for us to invest here in the U.S. in R&D, protect jobs, et cetera, and it's underpinning of a lot of our technology that we then export throughout the world. So we're very hopeful that, that changes. But in the meantime, as it stands right now, it doesn't. And come March, we may be having to make a payment. And so therefore, we put it in our guidance as such.
Darius Adamczyk: And the short story is -- Nigel, is that if it does get passed, expect $400 million roughly, plus or minus, increase to our cash outlook for the year.
Operator: Our next question comes from Jeff Sprague from Vertical Research.
Jeffrey Sprague: I just want to come back to the growth investments. And I guess sitting here, we could probably just impute that the growth, R&D and CapEx, is CapEx, $200 million or $300 million, right, and R&D, a couple of hundred million. But Darius, you've been talking about these initiatives for a while, some of the ones that you've laid out here. So maybe you could just actually scale for us what is truly growth CapEx and growth-oriented R&D? And have you found ways to kind of repurpose those traditional spending buckets?  I think you've talked about kind of lowering the asset intensity of the business and other things. So I think there's some movement inside that CapEx budget. But the nature of my question is really to try to get at -- and I think Steve alluded to it, kind of imputing the growth inherent in this IRR number that you're giving us, which kind of hinges on what the growth spending actually is.
Darius Adamczyk: Yes. Well, I think sort of the increment for this year is pretty much all sort of growth-oriented spending. And there's a couple of other elements that are embedded. So some of the classical sort of CapEx spending is going.  What it's getting replaced by is some of the spending that we're doing in things like automation. For example, our next phase of ISC transformation isn't so much a reduction in footprint and fixed costs and so on, but it's actually automation. So there's some CapEx that's embedded in there that doesn't necessarily help growth, but it helps margin expansion, efficiency and so on.  So there are some puts and takes and -- but the incremental spend has really been on really growth programs. And let me just give you a couple of specific examples where we've actually spent in development. We don't probably talk about it often enough, but our Forge business, which we've been invested in pretty heavily, they're recurring, their SaaS growth, 39% last year. Their recurring revenue base, double digit last year. Overall software growth, double digit last year.  Our Solstice business, which, as you may recall in the '15, '16, '17 time frame, we've invested a lot of capital into it. Now billion-dollar-plus kind of a business, and now we're investing even more because it's accretive to our margins. It's growing very, very quickly, and we're finding new applications. So I hope the investors trust us that we make these investments, they come to fruition, generate returns.  They're not instantaneous. We made Solstice investments 4, 5, 6 years ago, and now they're coming to fruition and they're flowering. Made the Forge investments 3, 4 years ago, that's grown. In 2, 3, 4 years, I'm very confident we're going to be talking to you about the kind of top line we're getting from Sustainability Technology Solutions or Quantum, whether it's part of Honeywell or not, but these are attractive things.
Jeffrey Sprague: Just a quick follow-up, if I could. So much discussion on growth here today. Could you size maybe the growth headwind that you experienced in Q4 and/or the year on supply chain or other type issues?
Gregory Lewis: Yes. We talked about it in our last guide as $300 million to $500 million in the quarter in Q4 and having had experienced about $300 million in Q3. And that's kind of what it turned out to be. It was probably more towards the high end of the $500 million.  And you see that in our past due backlog. It continues to be at an elevated level in 3 out of 4 businesses. And through the course of the year, that's probably $1 billion more than when we began.  So again, that's not a -- it's not one for one exactly the number, but that will give you a good marker for some of what was left on the table here in 2021, which, again, we have high confidence that carries forward. And as the supply base opens up on the semiconductor side, that should help free up the past due certainly a little bit in PMT, but mainly in the HBT and SPS business. And then we've talked a lot about supply chain, and we're starting to hear more of our aero and defense peers speaking about it as well. As that supply chain ramps up, that should provide a lot of tailwind for us as we go throughout the year.
Operator: Our next question comes from Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: So I want to ask about maybe Aero margins and SPS margins because I think that's the 2 deltas versus our model and your long-term targets. Especially on Aero margins, when we look at your margins, you did 27.7% in 2021, which is really good, and 28.2% if we exclude the Quantinuum loss. So how do we think about the drivers of that despite headwinds that you have in the business, but you're talking about margin expansion there for Aero, what's the reset higher? And then same for SPS, how do we think about a normalized margin rate there?
Darius Adamczyk: Yes. Let me start, and I'll turn it over to Greg. I think a couple of things. we are going to get much more OE growth in 2022 than we did in 2021. It was a favorable mix in '21. But nevertheless, we're going to still continue to see aftermarket growth. We're also investing in R&D. But given the volume leverage that we expect to see and still, I wouldn't say as favorable a mix is in '21, but still a good mix in '22. We expect to see some continued margin expansion in Aero despite further investments in R&D. That's the Aero outlook.  In terms of SPS, I think our big pressure was in the Intelligrated business because, as you know, that business grew over 50% last year, frankly. And I've said this from multiple calls, probably the worst here to pick that level of growth. So we have -- we will focus in Intelligrated in '22, not so much on growth, but there's more than enough that we could have if we wanted it. But we're going to focus on productivity and margin expansion because we really have to position that business much better for further growth, which we expect to see in '23 and '24. So that's really the business that really hurt our margins in SPS, especially in the second half of last year.
Gregory Lewis: Yes, and you pick the bookends. I mean we expect the most margin expansion in SPS for those reasons. And I think Aero is going to be on the lower end for exactly what Darius described between the investments we're making in R&D as well as some of the mix pressures. We'll get a little bit of that 40, 50 basis points benefit from Quantinuum moving out, but it will be on the lower end of the scale in Aero. And that's actually -- that's not a bad thing. I mean, we grew Aero margins dramatically in 2021. So it's not like we're slowing down off of a slow pace. It was a huge contributor to our margin expansion in '21. So I think it's right that this is the way. We want to make sure that we're always investing in that business because it's got a very bright long-term future.
Operator: Our next question comes from Andrew Obin from Bank of America.
Andrew Obin: So the question is just a follow-up on guidance. At the lower end, right, you're guiding to 4% top line growth with 4% pricing, sort of implies flat volumes. Could you just talk about the scenario? What would we view? What does the world look like in which this come true? And what does it imply for second quarter?
Darius Adamczyk: Yes. Well, I think, first of all, I'd say that you got to take the masks noise out of it. So even at the low end, we're growing the business because I think masks will still provide some noise, certainly in Q1, worth 2 points, and even some in Q2.  The scenario would be that there's no real improvement or deterioration in the supply chain situation. I mean that is the biggest still unknown. And although we're optimistic that the supply chain is getting better and we have better -- that we've sort of bottomed out. Until we really see that, it's hard to lock that into those numbers, and that's why we kind of have the bottom where we do. But that would be the biggest sort of variable that's an unknown is really the supply chain performance.
Andrew Obin: Got you. So not a specific segment, supply chain.
Darius Adamczyk: No, the ones that where we're getting impacted the most, I think in PMT for the most part, the impact there has been very mild. I would say HBT has been impacted relatively heavily, particularly in Q4. And I would say, looking forward, that's probably the segment where we have the biggest impact. Aero also, and SPS actually is getting better. So that's sort of how I would weigh the 4 different segments.
Operator: Our next question comes from Deane Dray from RBC Capital Markets.
Deane Dray: Just since it's been in the headlines over the past several weeks about the 5G rollout and issues with the risk of interference at airports, I'd be interested in your comments. Has this impacted at all orders in aerospace? Has it required any retesting? Any delays? Any commentary there would be helpful.
Darius Adamczyk: Yes, no. The short answer, Deane, it has not impacted orders. We're obviously working with both the OEs and the FAA to find a solution. And we're actively involved in those discussions. But in terms of orders and so on, no. And I mean, if anything, if there's a hardware and/or a software solution here, it probably will -- it probably improve our outlook for orders, not actually retrack from it, but we'd be very active in those discussions.
Deane Dray: Is there a risk of interference? There's lots of debate there.
Darius Adamczyk: Yes. I think I'm going to leave that answer to the experts. And I'm not an expert on this topic. So I think I'm going to defer that one.
Operator: Our next question comes from John Walsh from Credit Suisse.
John Walsh: Wanted to just dig in a little bit to Slide 22, where you talk about the labor cost inefficiencies, the $30 million to $50 million. Would just love to know how you're actually calculating that. Is that absenteeism? Is it the impact of inefficiencies from doing changeovers? It would seem like we've heard that from many manufacturers, but I guess you're the first to size it and actually seemed a little bit low. So maybe there's some other things that's not being captured in that $30 million to $50 million you call out.
Gregory Lewis: Yes. Yes. So think about that as -- again, that's specific to Intelligrated. It's specific to projects that we began in 2021 that are now going to carry over into 2022. And some of those costs are related to some of the demobilization and remobilization and the inefficiencies that come across.  So if you think about an installation project, materials come on site, people come on site and do their job in a certain defined time frame and a certain set of steps. And when that gets disrupted by material availability, you create havoc with supply of labor on time and so forth.  So these are very identifiable costs related to very specific projects. And we have changed our operating cadence with some of our customers to lengthen lead times and so forth to make sure that, that doesn't recur again in 2022. So this is really the carryover of completion of some of these larger jobs in '21.
Darius Adamczyk: Yes. And I think Greg said it right, which is when the supplies don't arrive on time, you cause inefficiency in the installation with them because there's -- people are essentially waiting on supplies. And that's kind of what we change going forward for '22 is we will really be staging the parts and the components needed for the warehouse before we actually apply the labor.  So the way we're going to execute these jobs, because generally, in a normal-flowing supply chain environment, you kind of do that concurrently. But with the unpredictability in the supply chain, it's really not possible, not prudent to do it that way. So we're going to be doing much more staging before we actually apply labor to do the install, which will dramatically improve our operating efficiency.
Operator: We'll take our last question from Andrew Kaplowitz from Citigroup. Andrew? Okay. We'll come back to Andrew. We'll take one more question from Markus Mittermaier from UBS.
Markus Mittermaier: One on PMT, if I could. Obviously, Europe piece, still strong as per your comments. You had a comment in the press release this morning that there was delayed project recovery and softness in smart energy in the fourth quarter. How should I think about the '22 guide here mid-single digits to high single digits in the context of the automation business? What are the customer conversations here on budgets? And is there upside there if some of these project delays, maybe around the status you expect, how should we think about that?
Darius Adamczyk: Yes. No, we're very bullish on PMT this year. Just to give you a very specific -- some specific figures, our project business bookings were up double digit in Q4. So we actually see a substantial acceleration in our automation business, and that's reflected in the booking rates.  PMT overall was up double digits in Q4 and the year. UOP business bookings were up over 20% in Q4. So really, really nice positioning for PMT. We're very bullish on PMT for '22 and '23. I mean the investment cycle is certainly returning, and we're seeing that in both our booking rates and the kind of performance we saw even in Q4, and we think that that's going to continue. So I think PMT is as well positioned as any business we see for '22.
Operator: Thank you very much. That concludes today's question-and-answer session. At this time, I would like to turn the conference back to Darius Adamczyk for any additional closing remarks.
Darius Adamczyk: I want to thank our shareholders for your ongoing support. We delivered strong fourth quarter results and continued to navigate effectively through multiple uncertainties with the typical level of operational rigor you've come to expect from Honey. Our future is bright, and we look forward to discussing this further at our upcoming Investor Day. Thank you all for listening, and please stay safe and healthy.
Operator: Thank you. This does conclude today's conference call. You may disconnect at this time. Have a wonderful day.